Operator: Good morning. My name is Chad, and I will be your conference operator today. At this time, I would like to welcome everyone to the Primerica, Inc. Q2 Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question-and-answer session. [Operator Instructions] Please note, today's event is being recorded. I would now like to turn the conference over to Nicole Russell, Head of Investor Relations. You may begin your conference.
Nicole Russell: Thank you, Chad, and good morning, everyone. Welcome to Primerica's Second Quarter Earnings Call. A copy of our earnings press release, along with materials that are relevant to today's call are posted on the Investor Relations section of our website. Joining our call today are Chief Executive Officer, Glenn Williams; and our Chief Financial Officer, Alice Rand. Glenn and Alice will deliver prepared remarks, and then we will open the call up for questions. During our call, some of our comments may contain forward-looking statements in accordance with the safe harbor provision of the Securities Litigation Reform Act. The company assures - assumes no obligation to update these statements to reflect new information. We refer you to our most recent Form 10-K as modified by subsequent Form 10-Q and the press release filed with our 8-K dated July 1, 2021, for a list of risks and uncertainties that could cause actual results to materially differ from those expressed or implied. We also reference certain non-GAAP measures, which we believe will provide insight into the company's operations. Reconciliations of non-GAAP measures to their respective GAAP numbers are included at the end of our earnings press release and are also available on our Investor Relations website. I would now like to turn the call over to Glenn.
Glenn Williams: Thank you, Nicole, and thanks, everyone, for joining us today. Second quarter results were very strong, reflecting continued progress in both our term life and our Investment and Savings segments. Leveraging the fundamental strengths of our business model, we are positioned to meet the middle market's increased demand for financial security, which has been revealed by the COVID pandemic. Starting on Slide 3. Adjusted operating revenues of $654 million increased 25% compared to the second quarter of 2020, while diluted adjusted operating income per share of $3.25 rose 33%. ROAE also increased to 27.8% compared to 25.6% during the same quarter last year. Turning to Slide 4. We attracted nearly 90,000 new recruits during the quarter. Year-over-year comparisons are difficult to evaluate because of the varying impact of the pandemic in each period and the tailored recruiting incentives we deployed each quarter. Looking beyond this noise, we believe that we are using the right mix of messaging and incentives to continue to drive recruiting and to increase the appeal of our business proposition. More than 10,000 individuals obtained a new life insurance license during the quarter, and we are encouraged by those results. We have seen some improvement in the licensing process over the last few months. Testing windows are now generally available and many states have called up on processing backlogs, although there remain some pockets where processing is still taking longer than usual. Licensing candidates today also have more flexibility to access pre-licensing classes in both in-person and remote options widely available. We continue to see a higher success rate for candidates choosing to attend in-person classes, but there is some hesitancy about assembling in classrooms. As COVID Social distancing measures eased, we noted a greater degree of distraction among our licensing candidates. After a prolonged period of lockdown, some people are prioritizing social activities and travel over the pursuit of their life license. Since the beginning of the year, our message to the final has been focused on getting new recruits engaged and licensed. We provide resources and coaching to assist new recruits on the most effective path to licensing. We also offer incentive credits and consistent messaging on the importance of new licenses and growth of the sales force. We believe our prioritization and support will help overcome the recent obstacles to the licensing process over the next few months. We ended the quarter with about 132,000 like license representatives, including a total of 2,400 individuals with either COVID temporary licenses or a license with an extended renewal date. As time wears on, we believe the majority of these licenses will largely age out. Excluding all 2,400 of these licenses from our total sales force provides a more appropriate and conservative understanding of the underlying size of our sales force and the foundation for future growth. The pandemic presented us with numerous unique challenges over the last year, yet we were able to navigate these obstacles by adapting quickly to a remote framework - remote work environment and by embracing web conferencing tools that will have a lasting benefit to our sales force. We remain committed to growing our sales force and expect to end the year at around 131,000 life licensed representatives after all the COVID-temp licenses and extended renewals have expired, compared to a normalized count of 130,700 at the end of 2020. Turning to Slide 5. Consumer sentiment for the value of life insurance remains strong, which is most evident in our persistency levels. Sales are also robust. However, we are finding that some individuals, both clients and reps, are also focused on resuming normal everyday activities, which competes with their urgency to obtain insurance coverage. Nonetheless, we issued nearly 90,000 new life insurance policies during the quarter, a figure that is slightly below last year's second quarter record levels yet outstanding by historical standards. Productivity remains above our historical range at 0.23 policy per life license representative per month and total face amount grew to $887 billion in force at quarter end. Looking ahead, as we see trends normalizing, we project full year-over-year life sales to decline approximately 5% versus last year's elevated levels. Turning to Slide 6 for a review of our Investment and Savings Products segment results. Sales exceeded $3 billion for the first time in history with solid demand from both the U.S. and Canada clients and across all product lines, including mutual funds, annuities and managed accounts. Strong equity markets continue to contribute to investors' confidence and help drive sales. Net inflows at $1.2 billion during the quarter were twice the level in the prior year period and slightly above the $1.1 billion in the first quarter of 2021. This level of sustained net inflows is a function of strong sales and investors' decisions to stay invested. We believe our redemption levels remain well below industry rates. We ended the quarter with client asset values of $92 billion, a 34% increase year-over-year, combining strong equity markets and nearly $3.5 billion of net new inflows over the last 12 months. Barring an unforeseen period of market uncertainty, which would have a negative impact on investor sentiment, we expect third quarter investment sales to grow in the 30% to 40% range versus last year's third quarter. We're making steady progress in our U.S. mortgage distribution business and continue with our deliberate efforts to expand distribution. We are now actively engaged to do business in 15 states with about 1,000 license representatives. We estimate the mortgage business will earn around $4 million in pretax earnings during the second half of 2021 for a full year total of $7 million. Because of the positive impact, we believe the mortgage business brings to recruiting, life and ISP sales and client satisfaction. We've begun a mortgage referral program in Canada. While providing similar positive overall business dynamics, this referral program does not require licensing of our representatives in Canada and provides much smaller economics for the company. We're seeing good response from our reps and clients to this offering, which rounds out the full-service client experience. Our acquisition of e-TeleQuote closed on July 1 and we're excited about adding senior health offerings to Primerica's financial solutions for middle-income families. In addition to e-TeleQuote's existing distribution model, we're in the process of rolling out a pilot referral program, leveraging Primerica strong relationships between our sales force and our clients. I look forward to updating you on our progress in the coming quarters. Now, I'll turn it over to Allison.
Alison Rand: Thank you, Glenn, and good morning, everyone. Starting with our Term Life segment on Slide 7. This quarter marks the first period where COVID impacted both the current and prior year periods. Segment results were very strong and operating revenues of $384 million increased 17% and pretax operating income of $117 million rose 23% year-over-year. As Glenn discussed, term life sales were down slightly from last year's highly elevated levels. Consumer sentiment for protection products continues to be favorable as reflected in record levels of policy retention. Persistency improved across all durations over the prior year period, which was already at historically elevated levels. Given more context, lapse rate in last year's second quarter was 15% lower than 2019 levels, while the current quarter lapses were an estimated 25% lower than 2019. The compounding impact of sustained higher sales and policy retention over the last five quarters drove 16% growth in adjusted direct premiums year-over-year, adding $11 million to pretax income over baseline 2019 levels. The similar contribution in 2020 was $3 million. The higher persistency lowered DAC amortization by $14 million, which was partly offset by $6 million in higher benefit reserves for a net contribution of $8 million to pretax income for the quarter. The net contribution in the prior year period was $4 million. Current period claims remained elevated in comparison to our historical experience. We incurred about $6 million in COVID claims and an additional $3 million of claims that were not identified as COVID for a total of 9 million excess claims for the quarter. This compares to $10 million of excess claims in the prior year quarter, which were fully attributable to COVID debt. The $6 million of COVID claims was in line with our expectations but increased our experience from $10 million per 100,000 population deaths to $13 million per 100,000 population deaths. The increase was caused by higher COVID-related deaths in Canada, which has historically had lower reinsurance coverage and therefore, a higher average retained face now. It's not unusual for us to experience normal claims volatility in the $3 million range in the quarter. And at this point, we believe this to be the case. That being said, there was a lot of discussion in the news about the impact of delayed medical care and the behavioral health crisis, which could have impacted recent claims activity. We continue to monitor our experience for any emerging trends. The level of vaccinations and their efficacy against strains of the virus are key to determining the ongoing level of COVID-related deaths. Looking at the third quarter, we estimate $6 million in COVID claims for the quarter based on an estimated 57,000 population deaths, including 500 deaths in Canada. We expect lapses to begin normalizing later in 2020 - excuse me, 2021. However, we have yet to see movement in that direction, and it remains difficult to predict the extent to which we will see a permanent improvement in persistency from pre-COVID levels. Any such improvement in persistency would be favorable to margin, resulting in a benefit ratio being higher and the DAC ratio being lower than pre-COVID levels. If the improvement is in the 10% range, margins would likely increase 80 to 100 basis points from where they were prior to the pandemic. Insurance expense ratio remained below its pre-COVID historical average during the quarter at 6.6% compared to 6.8% in the prior year period as higher adjusted direct premiums led to greater fixed cost absorption. Turning to the ISP segment on Slide 8. Operating revenues of $238 million increased 45% and pretax income of $71 million was 52%. These year-over-year comparisons reflect continued strong sales, which Glenn discussed earlier and significant asset appreciation over the last year. The 67% increase in sales base revenues was somewhat lower than the growth in revenue generating sales due to an increase in large dollar trades, which have a lower commission rate. Many of the large dollar trades are coming from retirement plan rollovers with job turnover on the line and a greater number of baby boomers deciding to retire. Asset-based revenues increased 39%, largely in line with the higher average client asset value. Our sales and asset-based commission expenses increased in line with the associated revenue. Other operating expenses grew by 11%, largely driven by fees based on client asset value. Canadian segregated fund DAC amortization for the quarter was at a normal run rate, but was $1.7 million higher than the prior year due to a significant market correction that occurred during the second quarter of 2020. Moving next to our Corporate and Other Distributed Products segment on Slide 9. The adjusted operating loss increased by $5.2 million compared to the prior year excluding $2.1 million in transaction-related expenses incurred during the quarter as a result of the acquisition of e-TeleQuote. The year-over-year change results reflects around $3 million higher employee and technology-related costs as well as $1.6 million of higher reserves on a block of discontinued business due to the low interest rate environment and improved persistency. Allocated net investment income in the segment declined by $2 million largely driven by a higher allocation to the Term Life segment to support growth in that business, along with lower overall yield on the invested asset portfolio. Our growing mortgage business added a net $1.6 million to pretax income during the quarter year-over-year. Consolidated insurance and other operating expenses on Slide 10 were in line with expectations that are $113 million during the second quarter, rising 13% or $13 million over the prior year. The increase was largely driven by growth in our businesses. We anticipate third quarter insurance and other operating expenses in our 3 existing segments to be approximately $119 million or 12% higher than the prior year period. Beginning next quarter, our disclosures will be expanded to including four segments: senior health, which will capture revenues and expenses associated with the distribution of Medicare-related insurance policies by e-TeleQuote, including earnings generated from sales sourced by Primerica labs. Our intent is to continue to remove transaction-related costs, which are specific to the purchase of e-TeleQuote and that we view as onetime in nature from our operating results. These costs include fees necessary to close the transaction, other onetime costs that assist us in integrating e-TeleQuote into our organization and the adjustments to certain items recognized for purchase accounting. Other integration-related costs that are ongoing nature will be shown as operating expenses in the Senior Health segment. Turning to Slide 11. The unrealized gain on our invested asset portfolio at the end of June was $123 million, up from $98 million at the end of March as rates declined and credit spreads tightened. The portfolio remains of high quality and well diversified across sectors and issuers. The NAIC recently adopted new bond factors to be used in the calculation of RBC that go into effect for 2021 year-end reporting. Modeling our June 30 RBC ratio using easy bond factors, we have made our ratio will be reduced by approximately 10 to 15 basis points. We believe this thing is small enough to not require significant changes to our invested asset portfolio. With the new bond factors, America Life estimated risk-based capital ratio is about 410% at the end of the second quarter, and we plan to remain above 400% for the rest of the year as we continue to fund business growth and take ordinary dividends to the holding company. On Slide 12, holding company liquidity at June 30 was $656 million reflecting the buildup in anticipation of the e-TeleQuote acquisition and includes the $125 million draw against our revolving credit facility. Immediately following the closing on July 1, Holding company liquidity was approximately $169 million. With that, I will open the line-up for questions.
Operator: [Operator Instructions] And the first question will be from Ryan Krueger with KBW.
Ryan Krueger: I'll start with e-TeleQuote. Can you provide any guidance, I guess, around how to think about the initial earnings impact? And I know there's also quite a bit of seasonality in the business. So any help there would also be great.
Alison Rand: Yes. We, at this point, aren't providing that information. You're exactly correct. The third quarter is not a season lease strong quarter per se. Their strongest quarter will most likely be the fourth quarter while annual - while the annual enrollment period is open. We do plan to provide that information as we move into next quarter's earnings results.
Ryan Krueger: Got it. Okay. And then on persistency, I'm sure it's tough to evaluate, but do you have any thoughts on kind of why we saw persistency get even better again? And were there any trends that happened throughout the quarter, month by month and post quarter? Or was it consistently that favorable throughout?
Alison Rand: Yes, a great question. It was consistently favorable throughout the quarter. And to put it in context of last quarter, and again, we have a lot of seasonality in our business recently in the second quarter is usually elevated anyway. But when you look at it on a year-over-year basis, both the first and second quarter in comparison to - we're using 2019 at the baseline in your pre COVID, both periods were both the same strength and about the 25% range improvement. So it's not that we've seen a further uptick versus what we saw say, last quarter, we just aren't seeing any deterioration in the rate. And I think it correlates very highly quite frankly, with what we're seeing in sales and while the sales were down a bit from last quarter last year, they're still exceptionally strong in comparison to where we were pre COVID. Obviously, at the very end of the quarter and into the third quarter, you had the rise of the Delta variance. So, that in and of itself probably makes me feel like the normalization of persistency may be pushed off further than I had even anticipated a month ago. Right now, again, we're not seeing any kind of normalization. To me, it's very unlikely that it will get back to pre-COVID levels or even where it's going to land post COVID by the end of the year, and I think it will continue to be elevated for the remainder of the year, perhaps not quite as highly as it is right now, but still to a point that would be very favorable to our earnings and most likely to sales as well.
Ryan Krueger: Great, thanks a lot.
Operator: The next question comes from Mark Hughes from Truist.
Glenn Williams: Good morning, Mark.
Mark Hughes: Hello Glenn, you talked about how the recruits have not been quite as diligent in getting licensed. Could you talk about - do you think that effect is extending into the second half? And do you think those kind of pull-through rates are going to be below historic levels?
Glenn Williams: Yes, Mark, we're seeing kind of the distraction effect that I referenced in my prepared remarks that people have been limited in their activities for so long. And then when finally, they're able - and of course, a lot of this is being impacted as Alison just mentioned about the Delta variant. But as the lockdowns ended and people felt more comfortable about moving about, we could see a distraction factor, and I believe that is attributable to the some of what you're describing in our pull-through rate on licensing, it's probably also created a little bit of disconnect from the strength of life sales and the strength of persistency. They were traveling very close together through most of the pandemic. And as Alison just referenced, persistency has remained very strong. Sales have eased some. And I think the difference between that is the fact that we've just got a lot of people out doing things that they haven't been able to do in a long time. And so that creates a distraction effect on our recruit pull-through rate through licensing. It still continues to be hampered some by some backlogs in states and not only the distraction factor. But as I stated, the most effective way to get someone through an exam is through a live licensing course. They just appear to be more effective in our analysis than online preparation. And people aren't real comfortable yet getting in classrooms with a lot of other people. And so, all of that added together is kind of created a drag on our pull-through. We estimate that's probably going to continue certainly in the third quarter, although we've got every resource available deck against trying to overcome that and create offsetting positives. It's probably going to continue through the third quarter, maybe even into the fourth quarter.
Mark Hughes: Understood. How about, how is recruiting look early in the third quarter?
Glenn Williams: We're very pleased, as we said with the second quarter recruiting. And again, things are normalizing. You'll recall as all of this really began in the second quarter of last year. We were very concerned about how a remote environment might impact our business, having never existed in an environment like that before. And so we kind of threw the kitchen sink at it from an incentive perspective. And then we found out that we actually thrived in the remote environment, and it had its own set of positives. And so, we had some double positives there last year. We started pulling back on the incentives at the end of last year, we implemented some because of the tough comparisons early this year, and now we're beginning to pull back on some of them now. So, I think you're going to see recruiting continue to normalize. If you do look back at the pre-COVID period, we were recruiting about 24,000 people a month during 2018 and '19. And that zoomed all the way to 33,000 a month last year and last quarter, it backed up to about 30,000. So, it is normalizing, but it's still at very high levels historically, and we expect that normalization to continue slowly throughout the year.
Mark Hughes: Understood. On the e-TeleQuote, how much of a push are you making internally for the existing sales reps to participate, either refer or I'm not sure how you're going to describe it, but to this upcoming Medicare advantaged season? Are they going to be fully engaged? Are you laying the groundwork for that?
Glenn Williams: Yes. We are starting as - is our practice at Primerica, we're very deliberate. We've got to learn - we've got to teach a group of people how to do this business. It's a referral system, so it's simple, it should be easy to each. But it's hard to anticipate how quickly they'll get around the learning curve and what kind of unintended consequences and other distractions that might create to our primary businesses and historical business. So, we're moving pretty slowly. We do have a group engaged already and have had some referrals passed from our sales force to e-TeleQuote. We're kind of examining each one as it goes through the system to determine how we feel about the process we've created. So, we will have some activity by this upcoming enrollment season, but we will be at full force by the fourth quarter. We just have probably both feet in the water at that time. We got a toe in right now. And so we are moving at a reasonable pace, but we're not going to sacrifice the momentum in our current businesses, nor create a process that we don't feel great about has long-term positive impact to rush and make it in time for this upcoming season. There'll be other seasons in future years that will be more important. But we should be able to report our progress by the end of next quarter and by the end of the year on how we've come along because we are engaged in it. We're just going to move deliberately rather than recklessly.
Mark Hughes: Okay. And then, the - you talked about 30% to 40% increase in ISP sales, similar mix to what you've got this quarter seemed a pretty a pretty good balance of annuities and mutual funds likewise in Q3?
Glenn Williams: Yes. We aren't seeing a big shift in product during this explosive growth that we experienced. It is across the board in both countries and across all product lines. So, we're not anticipating any real difference. It should stay pretty close to the same normal fluctuation maybe between products, but no real shift from one product to another, it's growing across the board.
Mark Hughes: Thank you very much.
Glenn Williams: Thank you, Mark.
Operator: Ladies and gentlemen, this concludes our question-and-answer session, and that concludes today's call. Thank you for joining Pramerica Inc.'s Q2 Earnings Results Conference Call. You may now disconnect your lines. Take care.